Operator: Ladies and gentlemen, thank you for standing by. Welcome to the first quarter 2014 conference call. [Operator Instructions] As a reminder, this conference is being recorded, Friday, May 24, 2013. I would now like to turn the conference over to Mickey Newsome, Executive Chairman. Please go ahead, sir.
Michael J. Newsome: Thank you, operator. With us also is our CEO and President, Jeff Rosenthal; our Senior VP of -- and CFO, Scott Bowman; our Senior VP of Merchandising and Marketing, Becky Jones. We appreciate you being on our call today, and we appreciate your interest in Hibbett Sporting Goods. Before we start, Scott Bowman will cover the Safe Harbor language.
Scott Justin Bowman: Thank you, and good morning. In order for us to take advantage of Safe Harbor rules, I would like to remind you that any projections or statements made today reflect our current views with respect to future events and our financial performance. There is no assurance that such events will occur or that any projections will be achieved. Our actual results could differ materially from any projections due to various risk factors, which are described in the company's press release and SEC filings.
Michael J. Newsome: Now our President and CEO, Jeff Rosenthal, will speak with you.
Jeffry O. Rosenthal: Good morning. As you know from our press release this morning, our first quarter's earnings per share were $1 versus $0.98 a year ago, a 2% increase. Overall sales increased 3% to $240 million compared to $232.9 million a year ago. Comparable store sales on a calendar basis were up 0.08%. Comps by month are as follows: February, up 0.7%; March, minus 0.6%; and April, up 3.6%. We are disappointed in our results. The colder weather clearly affected the performances of the key assortments, especially against last year's strong sales performance. Looking forward, we are well positioned for the summer and back to school. We have a much improved aged inventory position, product assortment and excellent customer service. From a real estate perspective, we opened 9 new stores, expanded 5 high-performing stores and closed 3 underperforming stores, bringing the store base to 879 stores in 29 states as of May 4. For fiscal year 2014, the company expects to open 70 to 75 new stores, expand approximately 18 high-performing stores and close 15 to 20 underperforming stores. We are very confident in our real estate strategy as our new stores continue to perform above pro forma. This gives us confidence that we can grow even faster this year and for years to come. We will grow to over 1,500 stores over time. We are flattish through yesterday. But with over 80% of the business still to be done, we feel that we will have a good second quarter. The company is maintaining its guidance for fiscal 2014 and expects to report a range of $2.85 to $3.05 earnings per share and a comparable store sales increase in the low to mid single-digit range. Some key initiatives that we have just started on and that we're very excited about, we -- that we have in, and this is an update to that. MDO, which is markdown optimization, is up and functioning and as we continue to go through the year, we will put more and more items on that. Early result is very positive. We are putting in a business intelligence tool that will help us get the right products in the right stores by customers, and we are in the midst of putting that in. We're just about ready to move to a new home office next month, which we feel very good about, and a new data center over there, which we feel very strong about. Our new DC that -- which we spoke about, we will be in next spring. It is well on its way and we feel that we'll be in there next spring, which will give us a lot of advantages once we get in there. Another thing that we have done is really done a lot of visuals around our new shoe wall, which really adds a lot of excitement to the customers, and we're seeing early results from that. We are persistent with our strategy going to small markets. We have nothing keeping us from obtaining our growth initiatives. There have been significant investments in our business that will continue to help us achieve that desired future growth. We look forward to continuing improvements and continuing business for many years to come.
Michael J. Newsome: Next, our Senior VP of Merchandising and Marketing will speak with you, Becky Jones.
Rebecca A. Jones: Good morning. First quarter results were healthy in our core activewear, footwear and accessory businesses, with those areas driving mid single-digit comp increases. The spring apparel sales were a smaller percent of the total compared to last year, while fall and winter product increased share of sales significantly over last year. Branded activewear was quite good in women's, youth and men's, and we continue to be very pleased with the growth of our men's fashion business. Footwear had a solid quarter, and it was driven by men's basketball, youth basketball and girls' running. Casual footwear and sandals were soft. The kids business is healthy, and we anticipate continued growth and success in those areas. Our Jordan business is quite good and continues to be so. The accessory business also good with strong gains in the sock and headwear category. Nike continues to drive business in the sock category. The challenge in the quarter really came from the license and equipment areas for us. The license area had headwinds due to the Kentucky championship last year. And while Louisville was -- win was within our market area, the results did not comp Kentucky's results. We did, however, exceed our expectations with the Louisville championship gear. Equipment was challenging in the first quarter as well with the baseball being soft overall. The wet cold spring kept many league teams off the field. Likewise, the Cleat business followed suit and was soft as well. Our current inventory is in a healthy space in both aged and clearance, and the merchants had managed product well along with the support of our suppliers. Our current product mix has us positioned to have a really good second quarter, and we're optimistic about the coming back-to-school season.
Michael J. Newsome: Next, our Senior VP of Finance and our CFO will speak with you, Scott Bowman.
Scott Justin Bowman: For the first quarter, total sales increased $7 million to $240 million, an increase of 3% over the prior year. Comp sales on a calendar or like-for-like basis were up 0.2%. Gross profit rate decreased 10 basis points in the quarter. Product margin increased 8 basis points, but was negatively impacted by selling more discounted winter goods and less spring apparel during the quarter. Warehouse and store occupancy deleveraged by 18 basis points, which was due to lower sales and the continued ramp-up of new stores that were opened at the end of last year. SG&A expense increased 42 basis points as a percent of sales in the quarter. Store labor and benefit experienced deleverage due to lower sales as well as an increase in health care claims during the quarter. SG&A was also affected by expenses related to the new office in D.C. Depreciation and amortization increased 1 basis point as a percent of sales in the quarter. The income tax rate for the quarter was 38.2%, which was higher than last year due to an increase in the reserve related to a state tax settlement. Operating income of $42.4 million increased 0.1% over last year and was 17.7% of sales versus 18.2% last year, a decrease of 52 basis points. Diluted earnings per share came in at $1 per share versus $0.98 last year, a 2% improvement. This was very close to our internal plan. From a balance sheet perspective, the company ended the quarter with $103.2 million in cash versus $95.8 million last year with no bank debt. Inventories increased 13.6% over last year and were 7.9% higher on a per-store basis. We spent $8.2 million in CapEx for the quarter, including approximately $5.1 million for our new office and distribution center. Also for the quarter, the company bought back 99,000 shares for a total of $5.4 million. At quarter end, we have approximately $244 million remaining under the existing repurchase authorization.
Michael J. Newsome: Operator, we're now ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Peter Benedict with Robert W. Baird.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: First, on the unit growth outlook, it was obviously nice to see you guys tick up the store opening target there. So it looks like about 6% unit growth this year, maybe something closer to 7% on the square footage. Is that a new sustainable level that we think can continue? Or could you even go higher as we look out to next couple of years? And what's kind of changing out there to allow you to get these -- the growth rates up faster?
Jeffry O. Rosenthal: Well, Peter, I think probably the biggest thing is we've got a lot more confidence and that our stores are performing above pro forma. But we see new store construction picking up a little bit, which gives us a little bit of opportunity to grow faster too. So we just think that there's plenty of small markets to go to and filling with new store construction picking up a little bit and the way we're performing, that we should be able to at least sustain that. We will look and see. We definitely are very disciplined on the way we approach real estate. So we still want to do our deals and do it the way we want to do it, but we feel very confident in the pace that we're at right now.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: Okay, that's great. And then maybe Scott, on the product margin side. As we look forward to next few quarters, markdown optimization obviously starting to layer in here. What's your latest take on that? And then secondly, just on the comps, obviously you guys have some pretty volatile comparison this year with the calendar shifts and whatnot. Just your flattish year-to-date here or quarter-to-date in May, just your outlook for kind of the balance of the second quarter, what should we be anticipating? And what are you guys seeing that suggests that business trends will start to improve as we move forward?
Scott Justin Bowman: So on the product margin side, we were up 8 basis points. We were constrained a little bit, as I said, because in activewear, we sold more of the winter goods, fleece and so forth, versus the spring apparel. So that was a little bit of a drag on activewear. So without that kind of an anomaly, it would have been a little bit higher. But with that, if you look through the remainder of the year, I would expect that to be definitely flatter than last year. It will have some nominal increases, but there'll be more incremental versus some of the big increases we saw last year. Markdown optimization is working well. We continued to roll out categories and that's on plan, but we're still kind of tweaking them too. I mean, so we still will kind of be in pilot mode, so don't really expect a big improvement for the remainder of this year due to that project. On the quarter-to-date comps, we're a little bit flatter. As we said, some of that is kind of the launch schedule and Jordans that we'll level out over time. If you look at the spring in the categories that we do have, apparel, footwear, accessories and so forth, those are pretty healthy right now, and the penetration of those categories will increase in Q2. And so that's why we feel comfortable as well as kind of the new products that we see down the road towards back to school.
Operator: Our next question comes from the line of David Magee with SunTrust.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: The -- let's see, the inventory levels right now, you mentioned the aged amount is in good shape. Do you feel pretty good about the overall level of inventories in the spring merchandise?
Rebecca A. Jones: We do, David. When we look at where we were a year ago coming out of first quarter, we had such a strong first quarter. We kind of got the inventory to a lower level than we really anticipated being at, at that point in time. So when you look at where we're at today in inventory, some of it's by design because we didn't want to go into second quarter in the same position that we did a year ago and some of this because the spring product really got a slower start. So that being said, we feel like we're in a good position because we've worked with our suppliers to adjust where we needed to. We've got --- had some returns that have helped us from -- an overposition. And we think that as it the weather continues to improve for us that we'll actually be able to accelerate a little bit.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: And I guess I'm also hearing that equipment from here on out starts to decline as a percent of sales. Is that correct?
Rebecca A. Jones: It does. Baseball's pretty strong for us, typically in the first quarter. It's our strongest sport overall. And even though football is impactful to us and it's a good sport, it doesn't have the same legs that baseball does from a volume perspective.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: And Scott, could you talk a little bit about the upcoming business intelligence system implementation, and sort of what the timing you expect as far as benefits and how we might see that in terms of the P&L?
Scott Justin Bowman: Yes. We're just getting started right now and we're getting ready to kind of go into the mapping phase to map all the data into the data warehouse. So it's still early days now. And so it's going to take a little bit of time to go through all of that to get it up and running and to really understand how to best use the data. We do have some kind of the preset kind of queries set up already that we work with a vendor, so that will shorten that time window a little bit. But really, right now, I'm not really counting on any big benefit for the remainder of this year. It will be really more of a next year kind of benefit.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: Do you think the benefit will be more of a top line like less off of stocks, things like that?
Scott Justin Bowman: Yes, I think it will be. It will be probably more heavily weighted towards sales opportunity. There will be a little bit of margin opportunity as well, as we're able to get a little bit later focused on those particular assortments in store, so that will give us a little bit of lift there as well.
Operator: Our next question comes from the line of Dan Wewer with Raymond James.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: A little confused as to why results in May thus far are running slower than April. I was looking at your largest markets and the weather has been ideal, high temperatures in the 70s to 90s, I guess, in Texas. And if you have a greater level of spring merchandise than a year ago, why would not expect May to actually be outperforming April?
Jeffry O. Rosenthal: Yes. There's a couple things. We still had -- the last couple of weeks, we had some weather issues still, even like in Oklahoma, tornadoes in Northern Texas and stuff like that. Also, during this period, we've also had some shifts in our allocation, not a shift in allocation as much as a launch is changed from one week to another. So really, the first few weeks is such low volume, so there's a little volatility up and down. We like -- for example, we have a pretty good launch tomorrow, which, last year, it was the week before, so some of those type things. But really, we still see that as the weather started to change, we're starting to see t-shirts and shorts and stuff start picking up again. So we feel really good about it. And really, the first 2 weeks is less than 20% of the business for the quarter. So really the best month, the best weeks and the strongest is really as we get closer to back to school anyway. So we feel like we'll be in great shape.
Michael J. Newsome: Another comment on that, we did have storms in a lot of our areas, like Jeff said. In the past, like Katrina, you have a big storm and stores are closed and beat up and the customers don't come in. But after the government money starts flowing, those stores end up with a big comp increase over time. So we fully expect to get that back before the end of the quarter.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: With the inventories, I think you had mentioned the spring inventory a little higher than you wanted. Will it be necessary to start taking your clearance markdowns earlier than a year ago, particularly given some of your competitors, their sales been a little bit softer as well?
Rebecca A. Jones: It's a little bit early into this season to say whether or not that would happen. At this point in time, it's not in the plan because we are seeing the weather get warmer as you mentioned. So we're going to ride this out for a little bit and see where we end up. We really have good relationships with our suppliers. And it's better for us when we work on the back end with them and we'll do some returns so we can keep the fresh goods coming. And that's typically one of the levers that we'll pull as opposed to just going with the hard mark.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: This is the last question I had. Actually, there may be 2 parts to it. I'm not going to ask about e-commerce for Hibbett. But Dick's did call out its e-commerce business is growing 50% year-over-year. And whether or not that's profitable for them is sort of irrelevant. I mean, for the customer, they have a choice. And if you think that could be having any impact on sales. And then kind of related to that, with all of the work going on with the new headquarters and the new distribution center, does that divert any of management's attention away from running the business, let's say?
Jeffry O. Rosenthal: When it -- Dan, when it comes to e-commerce, we continue as we'll have -- as we've said in the past and the next year, in the next few years, our strategy around e-commerce, omni-channel and what that really means for us. You would have to say it would have some effect. It's hard to measure, and saying people that don't shop online, that would be crazy. But we really still feel that we're not losing a ton of market share we, in a lot of markets, we feel like we're gaining. Sometimes, with putting such a huge burden on opening a new office in D.C., there's a lot of us involved, but we still feel like we have the right people with their eyes on the business and we'll continue to move forward. I just think first quarter was a little bit of an anomaly on that it was tougher than we expected. We know there's -- our strategy hasn't changed. We're still going to small markets and we feel very confident in what we do.
Operator: Our next question comes from the line of Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: I may have missed this right at the beginning. Can you -- in May, you're running up -- you're running flat. On a calendar-adjusted basis, what are you up against in May? Because on the adjusted basis, you're up against 12.5% for the quarter, and I think May was your best month last year. So what does May look like on that adjusted for the week-shift basis?
Scott Justin Bowman: Yes. May is pretty close and we -- it was at 9% last year, and it's really close to that 9% that we posted for last year.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Although it's saying 12.5% for the second quarter last year though.
Rebecca A. Jones: Shift?
Scott Justin Bowman: Yes, the shift -- for May, the shift didn't have a real big impact for May. So it's still close to 9%.
Sam Poser - Sterne Agee & Leach Inc., Research Division: So can you give me, on a shifted basis, what each month looks like then?
Scott Justin Bowman: I don't have it shifted month by month, so I could follow up with you after the call and give you that information.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay. And then you mentioned that you are seeing some new construction. Where are you seeing that, and where is your other growth coming from?
Jeffry O. Rosenthal: Well, Sam, when we were opening 70, 80 stores quite a few years ago, about 50% of our stores were coming from new store construction. Last year, it was less than 6%. This year, we're starting to see that percentage grow. A couple of things. They're still building some new strip centers. Some of the over empty real estate they're starting to chop up and put -- chop up and put 2 or 3 retail-type locations, and it's -- so they're going to be chopping an old Walmart building that's been empty for a long period of time, but -- so we're seeing that really across a lot of states, but feel a lot better about that happening. We hadn't had this many new store construction sites in probably 2 or 3 years at least.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay. And then how meaningful do you see that Jordan launch shift? How meaningful do you see that Jordan launch shift being?
Rebecca A. Jones: Sam, as far as Jordan's concerned in the second quarter, the shifts are like week to week. And so one week, it will be off and the next week, it's going to be good. I think that the thing to note for the second quarter as a total was that we're going to be in a better place than we were last year because our allocations are a little bit better than they were a year ago. So net-net, we feel pretty good about what that overall launch looks like for the second quarter because we had a little bit more access than we've had in the past.
Sam Poser - Sterne Agee & Leach Inc., Research Division: And more so into May, given that you're flat, but how much do you think that, that shift to the Jordan ones cost you in the May comp to date? So if you -- you know what I'm saying? Because you're flat, but you have the Jordan launch a week earlier last year. So if you -- when that Jordan launch hits this weekend, how much does that move the needle for the month of May do you foresee? I guess...
Jeffry O. Rosenthal: We didn't put that out exactly. I would say 1% or 2%.
Operator: Our next question comes from the line of Rick Nelson of Stephens.
N. Richard Nelson - Stephens Inc., Research Division: I wanted to follow-up on weather issue in the quarter. If we could look at the weather-affected markets like the Midwest and the plain states and maybe compare it to the southern states as to how you performed from a comp standpoint during the quarter.
Jeffry O. Rosenthal: Yes. We had the toughest weather really in the Midwest in -- up in the Mid-Atlantic area. If you look at those stores, if you look at probably more of that Hibbett heartland, the South, Texas, Louisiana, Alabama, Mississippi, those type, Georgia, we're pretty good comps. We had a pretty strong business there. So closer down towards the -- all the Sun Belt, sales were much better, but we got hit in the Midwest and the Mid-Atlantic. So it was -- I have a map right in front of me looking at the different weather, and you definitely see the Mid-Atlantic was the toughest in the Midwest.
N. Richard Nelson - Stephens Inc., Research Division: Okay, got you. And do you have -- do you think it was kind of more than weather kind of affected the comp in the quarter as well as May? Is anything happening with your customer that might be changing?
Jeffry O. Rosenthal: The only thing, and it's hard to pinpoint -- obviously, payroll taxes change. It's hard to measure how much that affected it. But really, the cold wet weather was the biggest thing. As Becky mentioned when she was talking that when you see sandals, when you see the winter areas, the differences in business, that's why you want to say most of it was in weather.
N. Richard Nelson - Stephens Inc., Research Division: Okay, got you. And Becky, I'm curious about those new shoe wall, how that's different and how that might be driving footwear comps.
Rebecca A. Jones: We're just in the process of rolling out the new footwear walls in about half of our stores. And it's really a couple of things that we took a look at. We took a look at the doors that were going to get it. First and foremost, our mall doors because we feel like there's an opportunity for us to show up better, especially now that we are focused on product and we are really invested in the fashion business in the mall areas. We wanted to ensure that our walls reflected that as well. So it's a brand-new visual that goes for the entire wall front to back, and it's really been a great hit with the consumers so far. Outside of the mall stores, we also have targeted some of the larger-volume doors, and we also targeted some stores the just needed a face lift, if you will. So right now, we're in the midst of the set. I would say, we probably have 25% of it completed. We will have it completed by the end of the second quarter for as much as we're going to do this year. And then we'll be able to tell you if we feel like it's really impacting us after that.
N. Richard Nelson - Stephens Inc., Research Division: Okay, got you. Finally, if I could ask you about the office move, how you see that affecting possibly expense ratios. I know this is a low-volume quarter that you're in, Q2.
Scott Justin Bowman: Yes. In Q2, we'll have the actual move, and so we'll see a little bit of a drag. It's about 10 basis points all in for the first quarter. And it will be a little bit more than that in second quarter as we actually execute the move, but it's not going to be materially different than what we saw in Q1. If you look at some of the major work like the data center move, that's almost complete, and we've had virtually little or no problems with that whole move, so it's really a testament to the IT team. They've done an excellent job of executing and planning that whole process. And so feel really comfortable about that, it's just the physical move of the people and all the other furniture and everything that we have ahead of us.
Operator: [Operator Instructions] Our next question comes from the line of Anthony Lebiedzinski with Sidoti and Company.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Another question about the weather. I was wondering, if you were to strip out the Mid-Atlantic and Midwest sales, which were most impacted by the weather, what would your comp sales be for the quarter?
Jeffry O. Rosenthal: It would be low to mid single.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Okay, that's helpful. And also, just was wondering about a further breakdown of the comps, traffic versus ticket, and also any color on conversion and number of items per transaction?
Scott Justin Bowman: Traffic and ticket -- ticket was positive, low to mid singles, but traffic was negative low mid singles. So the net-net was the 0.8% comp, but yes, definitely more ticket than transactions. On the items per transaction, it was about flat for the quarter.
Operator: Our next question comes from the line of Mark Smith from Feltl and Company.
Mark E. Smith - Feltl and Company, Inc., Research Division: First, I just want to clarify. I missed your part of the commentary on the cadence, those numbers on the months.
Scott Justin Bowman: Yes, we were up 0.7% in February, we were down 0.6% in March and up 3.6% in April.
Mark E. Smith - Feltl and Company, Inc., Research Division: Okay, perfect. And then second question, with a couple new stores coming on this year, can you just give us a rehash on cadence of openings throughout the year?
Jeffry O. Rosenthal: Yes. This year, as you know, last year, it was heavily weighted towards the end of the year. We had half of our stores open in the fourth quarter, so we'll have a better spread this year. It will still be more weighted towards the back half. But it will be much better -- much more weighted, evenly weighted this year than it was last. So I don't have specific percentages for you, but it will be more like 1/3 first half, 2/3 back half.
Michael J. Newsome: It will be better balanced this year than it has been. And looking forward to the next year and the year after, we think we'll improve each year on getting a little more balanced by quarter.
Operator: Our next question comes from the line of Sean Naughton with Piper Jaffray.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Can you guys maybe talk a little about -- a little bit about -- and I apologize if you did this already, but the inflation outlook that you have for this year, maybe in some of your key categories, athletic footwear and the athletic apparel side as well.
Rebecca A. Jones: The increases that we're seeing in our product mix really isn't significant over the last year. There's an item or 2 are there. I think that more than anything else, what you'll see is that we really shifted our focus to premium products, and I feel like that's really what our consumer is looking for from us. So when you see an increase in -- on the average price or an increase in the ticket, it's really by design because we have readjusted the assortments that we're focused on going forward. And we just really started implementing that last year, and that's really the route that we'll continue to take.
Operator: There appear to be no further questions. Mr. Newsome, I'll turn the call back over to you.
Michael J. Newsome: Thank you, operator. In summary, we have a great future in Hibbett Sporting Goods. We will have some occasional bumps in the road, but we are a very healthy company. Fundamentals are in place. We have improved as a company in systems, distribution, getting the correct merchandise and the correct store based on demographic needs and customer service. We are very encouraged as it relates to our sales performance in new stores. The last 3 years, new stores that we opened are performing approximately 20% above their pro forma goal, and we have raised our new store count goal for this year to 50 to 60 new stores net of any closings. And I believe that at this time, we will open even more new stores next year. We're preparing to have 1,500 stores in the future. Thanks for being on the call today. We look forward to speaking with you on August 23 at 9:00 a.m. Central Standard Time with our second quarter results. Thank you for being on the call.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.